Operator: Good morning and thank you for joining us today for Hovnanian Enterprises Fiscal 2022 First Quarter Earnings Conference Call. An archive of the webcast will be available after the completion of the call and run for 12 months. This conference is being recorded for rebroadcast and all participants are currently in a listen-only mode. Management will make some opening remarks about the first quarter results and then open the line for questions. The company will also be webcasting a slide presentation along with the opening comments from management. The slides are available on the Investors page of the company's website at www.khov.com. Those listeners who would like to follow along should now log on to the website. I would like to turn the call over to Jeff O'Keefe, Vice President, Investor Relations. Jeff, please go ahead.
Jeff O'Keefe: Thank you, Kevin, and thank you all for participating in this morning's call to review the results for our first quarter which ended January 31, 2022. All statements in this conference call that are not historical facts should be considered as forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements involve known and unknown risks, uncertainties, and other factors that may cause actual results, performance, or achievements of the Company to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Such forward-looking statements include but are not limited to statements related to the Company's goals and expectations with respect to its financial results for future financial periods. Although, we believe that our plans, intentions, and expectations reflected in or suggested by such forward-looking statements are reasonable, we can give no assurance that such plans, intentions, or expectations will be achieved. By their nature, forward-looking statements speak only as of the date they are made, are not guarantees of future performance or result, and are subject to risks, uncertainties, and assumptions that are difficult to predict or quantify. Therefore, actual results could differ materially and adversely from those forward-looking statements, as a result of a variety of factors. Such risks and uncertainties and other factors are described in detail in the sections entitled Risk Factors and Management's Discussion And Analysis, particularly the portion of MD&A entitled Safe Harbor statement in our Annual Report on Form 10-K for the fiscal year ended October 31, 2021, and subsequent filings with the Securities and Exchange Commission. Except as required by applicable security laws, we undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, changed circumstances, or any other reason. Joining me today are Ara Hovnanian, Chairman, President and CEO, Larry Sorsby, Executive Vice President and CFO, and Brad O'Connor, Senior Vice President, Chief Accounting Officer and Treasurer. I will now turn the call over to our CEO, Ara. Go ahead.
Ara Hovnanian: Thanks, Jeff. I'm going to review our first quarter results and I'll address the current market environment. Larry Sorsby, our CFO, will follow me with more details and then we'll open it up to Q&A. The Omicron COVID variant certainly further exacerbated industry supply chain disruptions and labor shortages. Across the country, during the month of January, in particular, we experienced trade partners being unable to work or working short staff due to COVID infections among their teams. Similarly, local building departments and inspectors experienced widespread COVID-related absences. Finally, COVID caused widespread issues among our suppliers. Cabinets, windows and garage doors were among the many problems due to COVIDs impact on labor at their manufacturing and delivery facilities. At the end of our first quarter, many homes across our markets were virtually finished. However, one or two back quartered items or the lack of a final inspection prevented us from closing homes all around the country. All of these issues combined resulted in longer construction cycle times and delays in home deliveries. This pushed some of our expected first quarter deliveries into the second quarter and caused us to miss our revenue guidance. However, as we'll describe more fully in a moment, our outperformance in gross margin and several other areas allowed us to exceed the high-end of our guidance for pre-tax profit. On Slide 5, we compare our first quarter results to our guidance. Additionally, we added a third column to compare our results without the $5.7 million of incremental phantom stock expense that was due solely to stock price increases in the quarter. As you can see in the third column, we missed in revenues, exceeded the top end of our guidance on gross margin, we're within our guidance range on SG&A, and exceeded the top end of the range in income before taxes. Due to 60% of our phantom stock being distributed in January of 2022, going forward fluctuations and stock price will have much less of an effect on our SG&A expense. For every $8 movement in our stock price, we'll have a corresponding $1 million impact on SG&A expense. Moving on to Slide 6, we show year-over-year comparisons for our first quarter. Given the supply chain disruptions and labor shortages that have been plaguing many industries, certainly including homebuilding, we're pleased with the strong profitability in the quarter. Starting in the upper left hand of the slide, you can see that our total revenues for the first quarter were $565 million. Moving to the upper right hand portion of the slide, you can see that our adjusted gross margin increased 170 basis points to 22.4% this year compared to 20.7% in last year's first quarter. This clearly illustrates that we've been able to raise home prices more than enough to offset the higher labor and material costs that we've incurred. Keep in mind that these first quarter deliveries were started when lumber costs were much higher and therefore did not get the benefit of the lower lumber costs that we had in the fall of 2021. We expect that lower lumber prices from late summer and fall of 2021 to positively impact gross margins beginning in the second quarter of fiscal 2022, as we deliver homes that started after the lumber prices receded. This is reflected in the large increase in our guidance for second quarter gross margins. Lumber prices have moved up from levels that we saw in the fall, but those increased prices are already factored into our full-year guidance. In the lower left hand quadrant of the slide, you can see that our SG&A ratio was 12.8% for the first quarter compared to 11.1% in last year's first quarter. If you exclude the incremental phantom stock expense, it would improve to 11.8% this year. If the COVID-related delays did not adversely affect our delivery count, our SG&A ratio would've been lower yet. In the lower right hand quadrant of the slide, we show that adjusted EBITDA was flat year-over-year at $64 million. Excluding the incremental phantom stock expenses adjusted EBITDA would've increased 9% year-over-year to $70 million. Turning to Slide 7. On this slide, you can see the benefit of the $181 million reduction of debt that we completed last year, particularly the reduction of some of our higher cost debt. Our percentage of interest expense to total revenues decreased 240 basis points from 7.2% in last year's first quarter to 4.8% this year. We anticipate lowering our interest costs further in the future. Regardless of future market conditions, lower debt levels means lower interest expenses in future periods. On Slide 8, you can see that excluding incremental phantom stock expenses, our adjusted pretax income improved 92% to $41 million compared to $21 million last year. Adjusted pretax income including the phantom stock expense still increased 65% to $36 million. Last year we did not expense federal income taxes in the first quarter, since we had sufficient deferred tax reserves. We subsequently reversed our deferred tax reserve. Therefore this year, we expensed federal income taxes in the quarter causing our net income to increase 31%, while our pretax income increased 65%. Regardless of the federal tax expense this year, we do not have to actually pay federal income taxes for the next $1.6 billion of pretax income as a result of our deferred tax asset. Let me talk about our sales environment. On the right hand portion of Slide 5, we show contracts per community for the first quarter, in each of the last three years. You can see that our contract pace jumped from 9.7 in the first quarter of fiscal 2020 to a white hot pace of 16.9 in fiscal 2021. That was a 74% year-over-year increase. While not as strong as last year, our sales pace of 14 contracts per community in the first quarter of this year was still exceptionally strong. Compared to the 9.7 contracts per community in the first quarter of 2020 our contract pace is up 44%. Further to the left, we show that the average first quarter contract pace from 1997 to 2002 was 8.6. And as we said, many times before, that was a time that was neither a boom nor a bust for the housing industry. The current pace of 14 contracts per community in this year's first quarter is incredibly strong compared to historical averages. Due to our ability to raise prices more than construction costs, our recent contracts are being written with very high gross margins. We expect higher levels of profitability in future periods as we deliver these homes. If mortgage rates rise further, it's reasonable to expect the rate of home price increases will moderate. At the same time, however, material and labor cost increases should also moderate. Despite the high impact of higher mortgage rates, house -- home demand remains strong. Entitled and improved lots remain a scarce commodity. And today we are still increasing home prices in all of our markets. On Slide 10, we show contracts per community monthly from March through February. The most recent month is in dark green. The same month a year ago is in light blue and the same month two years ago is in gray. For the last nine months, our contracts have been lower than last year's blazing pace. However, we compare favorably every month with the same month two years ago, which was a more historically typical contract pace. There's no doubt that our current sales pace reflects strong consumer demand for our homes. Turning to Slide 11, I want to focus on the month of February given everyone's focus on the current market conditions and you can't get more current than a month, which ended yesterday. I want to begin by saying that February right through our sales yesterday was a very strong month. I'm sure many of you have been wondering whether rising rates, fears of inflation, or the problems of Ukraine have affected demand. As you can see in this slide, sales were rock solid and very much above normal. On this slide, we show the contracts per community for the month of February from fiscal 2018 through fiscal 2022, which ended yesterday. For the first two years on this slide, contracts per community had been steady at about 3.2. This was a historically typical pace. Then the demand in February of 2020 exploded to 4.8 contracts per community. This was just before COVID hit. Then in February of 2021, we hit a white hot pace of 6.1 contracts per community, almost double the historical pace. This year, the preliminary results for February put us at 5 contracts per community, which is a very strong month for the month of February and well above normal, but certainly not as good as it was in 2021. On the bottom of the slide, we show what the seasonally annualized sales pace based on the month of February for these same years were to give another perspective. As you can see the annualized pace for February 2022 of 72.5 contracts per community puts us well ahead of 2018 or 2019, and was much higher than the non-boom non-bust sales pace of 44 that we averaged from 1997 through 2002. So let me say it one more time, sales right through our month end yesterday were rock solid and well above normal. I want to take a few moments to talk about interest rates. On Slide 12, we show long-term perspective of where the 30-year fixed rate mortgages have been since the 1990s. Today's 4% 30-year fixed rate mortgage remains among the lowest levels that we have seen for the past three decades. If you turn to Slide 13, we show that the rates, since January 1 of this year, the mortgage rates have increased almost a 100 basis points. Despite this recent run-up in mortgage rates, as you just saw demand for new homes has remained robust, right through the end of February. Any increase in mortgage rates is not helpful as a portion of homebuyers will no longer be able to qualify for the same mortgage that they would have previously. However, over the 60-plus years that we've been building homes, we've observed in numerous rising mortgage rate environments, rates certainly impact how large of a mortgage consumers can afford. But time after time, we've seen homebuyers adjust their expectations for how much they can afford to buy. When mortgage rates increase, consumers typically will either buy a smaller home or choose fewer options and upgrades. To-date, we have not seen much evidence of our customers taking those steps. If mortgage rates continue to increase, we expect that would occur. Incidentally, we make a comparable gross margin ratio in our smaller homes in a community compared to our larger homes. Now that's not to say interest rates do not affect housing demand. Continued rapid increases could certainly cause sticker shock among homebuyers and cause delays in their home buying decision. As recently as 2018, the housing markets suffered from sticker shock, as mortgage rates increased 100 basis points in a short time then, and homebuyers delayed their home purchase decision. However, in 2018, the economy was not as strong and the outlook for inflation was nominal. People did not believe mortgage rates would remain high, nor that home prices would remain high. So some customers just waited before buying a new home. After just a few months, consumers jump back into the housing market in a very strong way. And that was even before the post-pandemic surge. If consumers need and desire new housing, after adjusting their expectations for what they can afford, they will eventually buy a home. The increase in mortgage rates has had no impact on our cancellation rates. For the first quarter of 2022, our cancellation rate was 14% compared to 17% in last year's first quarter. For the months of January and February, when interest rates moved up by 100 basis points, our cancellation rates were 15% and 17%. Both months are in line with our low cancellation rate trends and remain below our historical average cancellation rates in the low 20% area. On Slide 14, we show that our community count increased slightly year-over-year, the most relevant number to keep an eye on is our consolidated community count, which increased by six communities, or 6% year-over-year to 111 at the end of the quarter. We expect our community count is likely to be similar at the end of the second quarter, and then increase in both the third and fourth quarter. Given no material changes in market conditions, we expect to end year with a community count at or slightly higher than the 140 communities that we had at the end of fiscal 2021. Further, we expect to maintain a higher average community count for fiscal 2022 compared to last year. We already have 86% of the remainder of the year's deliveries in backlog and firmly believe we'll be able to achieve the significant profit growth in our fiscal 2022 guidance. I'll now turn it over to Larry Sorsby, our Chief Financial Officer.
Larry Sorsby: Thanks, Ara. I'm going to start with the progress we've made in growing our lot position, the raw material we need to build our homes. Turning to Slide 15, we show that year-over-year, our lot count increased by approximately 5,500 lots or by 21%. We now control over 32,000 lots based on trailing 12-month deliveries, this equates to a 5.4 years supply. We've been steadily increasing our lot position and we expect to see our lot count continue to rise in fiscal 2022. The market for land acquisitions remains rationale and we continue to feel extremely comfortable with all the acquisitions, we've made over the past year. Keep in mind there's a lag between when we place lots under our control and when those same lots will be fully developed and we can open a community for sale. Most of the land we put under control during our first quarter fiscal 2022 will not be opened for sale until late fiscal 2023 and beyond. We now control 100% of the land and communities necessary to achieve our significant growth in revenues and profits during fiscal 2022 and control virtually all of the lots, we need to achieve our expected additional growth in fiscal 2023s revenues and profits. Turning now to Slide 16. Further demonstrating we're investing the money needed to grow our community count during the first quarter of fiscal 2022, our land and land development spend was $195 million, that is 9% increase over the $179 million we spent during the first quarter of fiscal 2021. Turning to Slide 17, even with that increase in land spend and paying off $181 million of debt late last year, we ended the first quarter with $271 million of liquidity. We continue to have excess liquidity and today our land acquisition teams are primarily focused on obtaining control of land for home deliveries in fiscal 2024 and beyond. Turning now to Slide 18. Compared to our peers, you see that we have the third highest percentage of land control via options. We continue to use land options whenever possible to achieve high inventory turns, enhance our returns on capital and to reduce risk. Our use of land options increased from 61% at the end of the first quarter of fiscal 2021 to 64% at the end of the first quarter of 2022. Turning now to Slide 19. Compared to our peers, we continue to have the second highest inventory turnover rate. High inventory turns are a key component of our overall strategy. We believe we have opportunities to continue to increase our use of land options and to further improve inventory turns and our returns on inventory in future years. On Slide 20, we show the dollar value of backlog including domestic and unconsolidated joint ventures increased 13% year-over-year to $1.9 billion at the end of the first quarter. Sequentially, backlog dollars were up 15% from the end of the fourth quarter to the end of the first quarter. The strength of this backlog, including a strong expected gross margin sets us up nicely to achieve our expected improvements in our fiscal 2022 financial performance. Our financial guidance for the second quarter and the full-year for fiscal 2022 assumes no adverse changes in current market conditions, including no further deterioration in the supply chain. Further it excludes any impact to our SG&A expense from phantom stock expenses related solely to the stock price movement from the $96.88 stock price of HOV at the end of the first quarter of 2022. Due to uncertainty surrounding ongoing supply chain issues, persistent labor market tightness, and lumber price fluctuations, we are reiterating rather than increasing our guidance for both the second quarter and the full fiscal 2022 year. On Slide 21, we provide guidance for the second quarter of fiscal 2022. We expect total revenues for the second quarter to be between $700 million and $750 million. We also expect gross margins to be in the range of 23% to 25%. SG&A as a percent of total revenue is expected to be between 9.5% and 10.5%. Finally, we expect our adjusted pretax profit for the second quarter of fiscal 2022 to grow to between $60 million and $75 million. On Slide 22, we provide guidance for our 2022 fiscal year. We expect total revenues for the year to be between $2.8 billion and $3 billion. We also expect gross margins to be in the range of 23.5% to 25.5%. SG&A as a percent of total revenue is expected to be between 9.3% and 10.3%. Adjusted EBITDA is expected to be between $410 million and $460 million. We expect our adjusted pretax profit for fiscal 2022 to be between $260 million and $310 million. Finally, we expect earnings per share, assuming a 30% tax rate to be between $26.50 and $32 per share. At yesterday's closing stock price, our stock is trading at an extremely low multiple of only 3.3x the midpoint of our fiscal 2022 EPS guidance. Turning now to Slide 23. On this slide, we show our debt maturity ladder at the end of the first quarter. Last year, we paid off $181 million of debt and we are committed to reducing our debt by approximately $200 million in fiscal 2022. We believe that we should be able to refinance our currently undrawn revolving credit facility ahead of its maturity in the first quarter of fiscal 2023. After that, we do not have any debt coming due until fiscal 2026. Given our $416 million deferred tax asset, we will not have to pay federal income taxes on approximately $1.6 billion of future pretax earnings. This tax benefit will significantly enhance our cash flow in years to come and will accelerate our progress of rapidly improving our balance sheet. Back in June 2018, we first introduced a set of multi-year key metric targets to help you understand some of our longer-term expectations. By the middle of fiscal 2021, we had exceeded those multi-year targets. As we continue our efforts to repair our balance sheet, and in light of recent performance, we felt now was the appropriate time to provide an updated set of illustrative multi-year key metric targets, which are presented on Slide 24. These key metric targets including the assumptions upon which they are based and our accompanying remarks and comments are integrally related and intended to be presented and understood together. Given the forward-looking and longer-term nature of these targets, you should keep in mind that the information we are showing you sets out our goals for future periods, but a wide range of outcomes are possible. And our actual results may differ materially and adversely from our targeted results due to a variety of factors, including those described on Slide 2, and in the section entitled Risk Factors in our most recent Annual Report on Form 10-K. We undertake no obligation to update these targets and/or provide this type of longer-term forward-looking information on a regular basis. Unlike in 2018, when we assume no changes in market conditions, this time, we are taking a more conservative view of future market conditions. Currently, demand for our home remains exceptionally strong, and our recent sales are generating very strong margins. Although we are not experiencing nor are we forecasting a deterioration in current market conditions solely for the purpose of presenting these key metric targets, we assume that both adjusted gross margins and our sales pace decline to a more normalized historical levels. We believe our multi-year key metric targets are achievable within the next few years, provided that any adverse changes in market conditions are no worse than we already assume. We conservatively assume gross margins would decline by 400 basis points from the 24.5% gross margin at the midpoint of our 2022 guidance. Over the past two years, we've made progress in repairing a balance sheet and have materially improved our credit statistics. We expect to build on that progress going forward. We are increasing our focus on an asset light approach, which we believe, will result in further increases in our inventory turns and revenues. We expect this growth in revenue to allow us to achieve a leveraging of our SG&A expenses. We believe that the combination of our anticipated growth and profitability and the fact that we do not have to pay cash federal taxes until we deplete our deferred tax asset will enable us to pay down debt and accelerate the repair of our balance sheet. Turning to Slide 25. All the bar charts on the next three slides are set up the same. The first two gray bars show our actual results for fiscal 2020 and fiscal 2021. Where applicable, the midpoint of our guidance for fiscal 2022 is shown in light blue and our multi-year key metric targets are shown in dark green. Beginning with the adjusted gross margin in the upper left hand quadrant, we assume that our multi-year target gross margin will decline by 400 basis points to a more normalized 20.5% compared to the 24.5% gross margin in the midpoint of our fiscal 2022 guidance range. Moving to the upper right hand portion of the slide through an even more aggressive asset light approach we intend to remain very focused on further increasing our inventory turns to reach our multi-year target level of 2.1x. Since fiscal 2015, we have grown our percentage of option lots from 46% to 64%, and going forward, we're taking steps to increase our use of lot options even further. In the bottom left hand portion of the slide, we show that we plan to invest a portion of our future profits into growing our inventory. The lower right hand quadrant of the slide shows that at the midpoint of our fiscal 2022 guidance, we will have grown revenues by almost $600 million since fiscal 2020. Given our planned growth in inventory and our expected higher inventory turns, we are seeking revenue growth of about $1 billion from the midpoint of our 2022 guidance range, which will allow us to achieve our $3.95 billion multi-year revenue target. Turning now to Slide 26, the upper left hand portion illustrates that achieving our anticipated revenue growth will provide sufficient operating leverage to reduce our SG&A as a percent of revenues to 9%. As you can see, from the upper right hand portion of the slide, we are targeting to achieve a relatively stable multi-year adjusted EBITDA target at just over $450 million. However, we continue to focus on lowering our leverage levels and are seeking to achieve debt reduction by about $525 million from the $1.17 billion projected at the end of 2022 to $650 million of debt in our key metric target. When coupled with the $181 million debt that we reduced last year and the additional $200 million we plan to reduce in this fiscal year, this goal would reflect almost $1 billion of debt reduction from the $1.6 billion we had at the end of fiscal 2020. In the lower right hand portion of this slide, we show the roughly $70 million of savings, our multi-year targeted debt reduction goal would have on our interest expense. We continue to evaluate our capital structure and explore transactions to simplify our capital structure and strengthen our balance sheet, including those that would refinance our debt at lower rates, which would add to the savings and interest expense that our $82 million multi-year target assumes. Turning to Slide 27. We showed in the upper left hand portion of the slide our goal of achieving adjusted pretax earnings of about $372 million, up from $197 million in fiscal 2021. On the upper right hand quadrant, you see the multi-year growth target for shareholders equity to $838 million, up 379% compared to our $175 million equity at the end of fiscal 2021. In the bottom left hand portion of the slide, we show that if we were to achieve our multi-year key metric targets, that result would lead to dramatically improving our debt to cap ratio to about 44% and would mark substantial progress towards achieving our longer-term mid 30% debt to cap target. Lastly, we are looking to achieve a multi-year adjusted EBITDA to interest incurred target of 5.5x, which would mark a dramatic improvement from 2.3x in fiscal 2021. I'll now turn it back over to Ara for some brief closing comments.
Ara Hovnanian: Thanks, Larry. In closing, I'd just like to step back and give a bit of a macro perspective on the state of the housing industry. On the one hand, it's easy to assume that we're at the very top of the housing cycle. We're all aware of the home price increases over the last year. We're also aware of the single family housing start increases since the bottom of the Great Recession. However, if you look at Slide 28, which shows single family housing starts over the last 50 years, you'll know that we're very far below historic market peaks, and for the first time in 13 years, single family housing starts in 2021 were just slightly above the long-term average. Entitled land is in short supply and supply chain disruption and COVID delays will keep housing production moderated for some time. In spite of the Ukraine crisis, and rising mortgage rates, housing demand has stayed extraordinarily strong right up through our sales results this week. The prospect of inflation or future mortgage rate increases only seems to strengthen the conviction and resolve of our future homebuyers. In 2005, 1.7 million single family homes were built compared to about 1.1 million last year. It's nowhere near the old peak. The average FICO score of our homebuyers was 712 in 2005 compared to 743 in fiscal 2021. It's just a different time. Many are concerned, not just with the recent mortgage rate move, but the absolute level of mortgage rates. I want to remind you that we built as a country a lot more homes in 1993, between 1993 and 2006, than we're currently building. And during that timeframe, mortgage rates were between 5% and 9%. Given the low level of single family starts today, and as you can see on the graph, it follows a decade plus of super low housing starts by historical perspectives. It gives us the confidence that we can achieve our multi-year key metric targets that Larry just reviewed, particularly given some of the more conservative assumptions regarding our gross margin declines. We're taking advantage of the strong housing market today to strengthen our balance sheet while achieving growth through more aggressive inventory turns and regaining the economies of scale regarding SG&A that we've achieved in the past. We look forward to sharing our progress over the next several years and we strive to achieve these key metrics soon. Thanks. That concludes our formal comments and we'll happily turn it over to Q&A.
Operator: The company will now answer questions. [Operator Instructions]. Our first question comes from Jesse Lederman with Zelman & Associates.
Jesse Lederman: Hey, thanks for taking my question. So your order results were stronger than you were expecting and while down year-over-year, they were ahead of your delivery pace. You mentioned last quarter you were metering sales in many of your communities with the supply chain worsening; do you have plans to more aggressively limit sales as the spring selling season kicks into high gear?
Ara Hovnanian: Well, first of all, we are still continuing to meter sales in many communities throughout the country. That's a phenomenon that we and many of our peers have been doing. Nonetheless, we are looking forward to very strong spring selling season. It will be also helped by the fact that we plan by the end of the third and fourth quarter to have more communities open as well. And that should give us an additional boost.
Jesse Lederman: Got it. Thank you. Just quick follow-up on that how does the percentage of communities you're limiting sales in now compared to last quarter?
Ara Hovnanian: I just don't have that number off the top of my tongue. It's not something we track religiously. I just know that we're carefully looking at our ability to start homes and complete homes and we use that as guidance on a case-by-case basis for metering sales.
Jesse Lederman: Got it. Thanks. And then secondly, you're prioritizing cash flow generation doing a great job paying down debt thus far. Does an intensifying -- does an intensifying supply chain environment and lengthening of cycle times imply you might need to slow the pace of sales to avoid tying up additional capital on the ground and allow your backlog to unwind?
Ara Hovnanian: No, not at all and it's important to really digest our comments about inventory turns. We think there's still a lot of inventory, an opportunity for inventory turns, we've been a leader the second highest performer on inventory turns, but we still think there's a lot of opportunity and that allows us to do more volume using less capital and less inventory.
Operator: Our next question comes from Alex Barron with Housing Research Center.
Alex Barron: Yes, thanks, guys and good job on the quarter. I wanted to start with the deliveries; I think you implied that there was a lot of impact from COVID. So should we assume that any missed closing this quarter should be caught up fairly soon? Or do you think it's going to take the rest of the year to kind of make those up?
Ara Hovnanian: The ones that we just missed in January, certainly we expect to close in February. But and Omicron variant is causing a little less problem among labor crews. But I can't say the supply chain disruption portion has been solved. And while it's probably going to be less, there are still delays out there. So I'd suspect and we've tried to forecast some of the delays into our second quarter guidance and third and fourth but it's hard to be very precise in this environment.
Larry Sorsby: Yes, Alex, if it wouldn't have been for the increasing cycle times that we saw in the first quarter elongating cycle times with the strong demand that we had for new sales, I think it's a safe bet, that we would have increased our guidance for the full-year. We kind of held back on increasing our guidance for the full-year and frankly, for the second quarter, just because we've experienced this elongated cycle time. And are assuming that it's going to continue for the remainder of the year, things are getting better. And the cycle times shorten, we could potentially do better.
Alex Barron: Okay, great. And then on the debt reduction efforts, I think you guys have talked about a potential transaction, wondering if you could comment further on that. And if you know if that, whether that happens, it doesn't happen, do you have the ability to raise debt by $200 million every year, or is there some restriction that would prevent you from doing that?
Larry Sorsby: There's no restriction in the amount of debt that we can pay off. So there are certain covenants in our bond that point to having to pay them off in lien priority, but no restrictions on the amount of debt that we can pay off. So that was your second part of the question. What was the first part?
Alex Barron: Was there any update you can provide on the timing or what [indiscernible] refinance?
Larry Sorsby: Yes, timing of a potential refinance. We continue to closely monitor the debt markets, the overall high yield market probably had a little bit of a headwind with interest rates going up, and the Fed talking about it now with Ukraine. So the timing hasn't been perfect to do a transaction, but we continue to closely monitor the capital markets, for opportunities to improve our balance sheet.
Ara Hovnanian: And I think, as you saw on our maturity ladder, the next big maturity is out in fiscal 2026. So we have plenty of time to survey the market and figure out a good time to launch.
Alex Barron: Yes, now and I mean, I think you guys have the cash generation potential to maybe then not need to do a deal and still pay off your debt in the next four years. But I think if you did get something done, it would certainly boost your earnings in the short-term?
Ara Hovnanian: We agree.
Larry Sorsby: Yes, we can't disagree with that statement.
Alex Barron: On the other end, I know you guys were not projecting margins to go down 400 basis points. You're just kind of saying if things were to go back to normal, but what would be a reason that you guys would expect that to happen just land costs versus losing pricing power? What's the scenario that you guys would envision that to happen, but seems [indiscernible] this shouldn't happen?
Ara Hovnanian: Sure. I mean, we've been around, obviously, for 60 plus years, and we've lived through cycles, good and bad. This is certainly a good cycle. And at the moment, we should see no evidence that this good cycle is coming to an end. But over time, we are in a cyclical industry. So we think it's smartest to use normal historical averages in projecting a multi-year target. At some point, apparently not now, from what we can see. But at some point, the market will return to more rationale levels of pricing and of cost and of pace. And therefore we use our historical average gross margin of just a little over 20%. Again, we're not projecting that at the moment. But we think that's a good and conservative basis in which to set multi-year targets.
Larry Sorsby: Yes, I would say the other thing, Alex is there's some investors out there that didn't, don't understand. And we're trying to show them clearly that even in that kind of a very significant 400 basis points cut in margin slowing down pace, that we can still make gargantuan improvements to our balance sheet. And our earnings are still extremely strong and better than what we're achieving now. Some didn't believe that was possible in a rising interest rate environment that might have an adverse effect on margins. So we really, show how we can do all of that even if margins decline and sales by slowest.
Alex Barron: Right now, you guys said, and other builders have said, there hasn't been any evidence that the recent rate increases this year has affected demand. But let's pretend; let's assume that rates keep going higher from here. And at some point, it does impact demand. What do you think would be the most likely scenario to play out that, you guys would maintain practicing to try to defend margins and that volumes would take a hit? Or would it be the other way around that you try to defend the sales pace and the volume even if the margin takes a hit? What do you perceive would happen in that scenario?
Ara Hovnanian: Well, I think you saw in our multi-year targets, we assume gross margins of 20%. That's 400 basis points below our midpoint of our guidance for this year. So to some extent, that tells you what we think we do, I think we'd be okay with margins getting to historical norms. And we think we have so many other factors that would lead to great results even in that environment.
Larry Sorsby: I think the first thing the industry would do, and certainly we would to the industry did it is some kind of return to normalize incentives and concessions, which really the industry is not doing much of if any, today, that'd be the first step. I think to kind of, it would have an adverse effect on margin, but modest, and hopefully, spur activity. And I think, if it would be done community-by-community, market-by-market and we would be monitoring, what our peers were doing in competing communities and just keep pace. But I just think it would follow normal historical patterns, which builders try to keep pace up by offering values to the consumer.
Ara Hovnanian: I want to emphasize that at the moment, even the last two months with rising rates, the opposite has been happening. We've been raising home prices in 80% of our communities. So we're doing just the opposite right now.
Operator: [Operator Instructions]. Our next question comes from Jordan Hymowitz with Philadelphia Financial.
Jordan Hymowitz: Hi, thanks, guys. First of all, I just want to understand a couple things behind within your presentation. The multi-year metrics are what years, is that two years away is that three years away, I mean what's a ballpark timing?
Larry Sorsby: Yes. Yes. We purposely didn't put a precise fine point on it. We did the same thing in 2018 and while we have achieved that in two-and-a-half years. So your two to three year, kind of guesstimate is certainly within the ballpark a few.
Jordan Hymowitz: Got it. Second question is in the assumptions for the end of this year. Are you assuming $200 million in debt pay down but not a global refinance?
Larry Sorsby: Yes. We hard to project global refinance always projected is a debt pay down.
Jordan Hymowitz: Okay. And is that $200 million because you already have $200 million more on the balance sheet than needed. And you're projecting $400 million to $500 million in cash flow. So couldn't it be more than $200 million this year?
Larry Sorsby: We're not projecting more than $200 million, but I don't think your math is wrong.
Jordan Hymowitz: Okay. Now let's just go through some numbers here, because you guys don't pay taxes. So assuming your numbers, then who knows if they're right or wrong, and $24, $25 in the time period here, if you take the net income, and just divide it by 6.3, its $45, $46 per share, but you don't pay any taxes. So it's really in cash earnings over $60 a share. So in effect, your stock is trading at 1.5x $24, $25 numbers if you hit them, which projects a 20% slowdown. Again, I just want to make sure that's what you're projecting here. Maybe it maybe doesn't come true?
Larry Sorsby: I think ignoring taxes, Brad, I didn't follow the 100% of the math. But I think that's in the ballpark.
Jordan Hymowitz: But you don't pay taxes, your cash earnings and you're making a projection of $65 a share?
Larry Sorsby: It's important that I have, I'm not sure the market looks at it that way. But if they did, I think your assumptions are in the ballpark. Brad anything to comment?
Brad O'Connor: Your math sounds right.
Jordan Hymowitz: Why wouldn't investors care about cash earnings versus GAAP earnings? I'm an investor I care about cash earnings and your debt pay down is guided by cash earnings.
Ara Hovnanian: We are -- we love your perspective. But as Brad O'Connor, Chief Accounting Officer just said, he believes your math is correct.
Jordan Hymowitz: Okay. And my final question here is, I mean, the Russia has invaded Ukraine. And it's fair, which is an awful thing for humanity and society. But it's very good for interest rates and your ability to refinance the debt. I mean, if you look at where the tenure is today at 1.7%, which is on 35 basis points in a week and a half. Will this spur you to be more aggressive and looking at things and make it a more likelihood you could get something done?
Ara Hovnanian: Well, without speaking to likelihood of getting it done, rest assured that we are monitoring the market extremely closely. And if we thought there's a transaction, we could get done that that really made sense we would pursue it. And, I don't know a better way to answer that question.
Jordan Hymowitz: Fine, and the very last thing so the $26 to $32 you're projecting is also not a cash earnings number, because it doesn't include taxes, which is really close to the $37 to $40, tap on a cash earnings bases and that's before you do any refinancing of debt if that occurs?
Ara Hovnanian: Brad, I'll let you answer that one.
Brad O'Connor: Correct.
Operator: Our next question comes from Kwaku Abrokwah with Goldman Sachs.
Kwaku Abrokwah: Hi, guys, and congrats on the quarter. Just a quick question on the supply chain delays. Can you help us understand like how the nature of these delays are changing or manifesting over the past couple of quarters? It used to be more COVID-related. Now, it seems to be lack of available inventory at different stages. Can you just help us understand like, how has it transformed over the past two to three quarters, or is it the same thing as last quarter and a quarter before?
Ara Hovnanian: In terms of materials it's pretty much the same, except that the Omicron variant was so widespread, particularly in January that it definitely we heard about it from logistics warehouses of our distributors that they had absenteeism that delayed things. The delivery drivers had COVID and that delayed things. So on that side of the material, materials, it definitely was a little more pronounced. We really felt it on the labor side, as we'd be expecting a crew of six carpenters to show up at a house. And two showed up because four of them were home with COVID. It was so widespread. But that problem seems to have dissipated quite a bit since January. Longer-term, there are certainly still delays in materials. And that haven't hasn't solved itself, other than the ones that I just described. There are materials that are coming from overseas parts coming from overseas and everything is just hit supply chain disruptions. And we think they'll eventually get there. But I can't say that that's turned around dramatically over the last few quarters.
Kwaku Abrokwah: Understood, appreciate that. But generally, you believe that there was a spurt in January, and that that has come off as we've entered -- we entered or exited February and potentially, it's tough to forecast how things improve over the year. But there's a potential for improvement over the year, is that fair?
Ara Hovnanian: I think that's fair.
Kwaku Abrokwah: Okay. Now moving on to the debt. And I think it was briefly touched on the $200 million you intend on paying down this year? Can you help us understand in the context of the liens priority? Like which tranche you would look to target? Or have you thought about that at all?
Larry Sorsby: Yes, we have to pay down the debt in the lien priority order. So we would have to start with a one in an eight and work our way up or down the priority ladder, depending on how much debt we paid down. So the $200 million we're referring to would have to be the one in an eight lien notes.
Kwaku Abrokwah: Understood, perfect. And is there sort of, I guess moving on to be more precise, are your longer-term debt priority pay down, I think it's about $550 million. How should we think about in the context of your desire to refi the capital structure? Is it a case of -- I will stop there in kind of getting your question, and I have follow-up.
Larry Sorsby: I think, regardless of refinance, we're showing our desire to get to make progress towards our mid-30% debt to cap goals. So that's where we think we can be in a few years in terms of debt pay down, we would certainly factor that into any kind of refinance decisions, and certainly with respect to call provisions on any debt that we've refinanced.
Kwaku Abrokwah: Got it, that's what I was trying to get at it. Is it a case would you leave tranches outstanding to pay down or would you consider refi or refinancing everything and then utilizing call provisions to get to the goal eventually?
Larry Sorsby: We would take everything into account and make the best possible business.
Operator: And I'm not showing any further questions at this time. I will turn the call back over to Ara for any closing remarks.
Ara Hovnanian: Great. Well, thank you very much. Needless to say, our hearts are pouring out for Ukraine and all the citizens there. And we're going to continue to do our part in the housing industry here. Thank you so much, and we look forward to giving you great results in the future quarters.
Operator: This concludes our conference call for today. Thank you all for participating and have a nice day. All parties may now disconnect.